Operator: Good afternoon and welcome to The Western Union First Quarter 2017 Earnings Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Mike Salop, Senior Vice President of Investor Relations. Please go ahead.
Michael Alan Salop - The Western Union Co.: Thank you, Lara. On today's call, Hikmet Ersek, Western Union's President and Chief Executive Officer; and Raj Agrawal, Executive Vice President and Chief Financial Officer, will discuss the company's 2017 first quarter results, and then we will take your questions. The slides that accompany this call and webcast can be found at westernunion.com, under the Investor Relations tab and will remain available after the call. Additional operational statistics have been provided in supplemental tables with our press release. Today's call is being recorded, and our comments include forward-looking statements. Please refer to the cautionary language in the earnings release and in Western Union's filings with the Securities and Exchange Commission, including the 2016 Form 10-K for additional information concerning factors that could cause actual results to differ materially from the forward-looking statements. During the call, we will discuss some items that do not conform to Generally Accepted Accounting Principles. We've reconciled those items to the most comparable GAAP measures on our website, westernunion.com, under the Investor Relations section. We'll also discuss certain adjusted metrics. Although the expenses that have been excluded from adjusted metrics are specific to unique initiatives, the type of expenses maybe similar to type of expenses that the company has previously incurred and can recently be expected to incur in the future. All statements made by the Western Union officers on this call are the property of The Western Union Company and subject to copyright protection. Other than the replay noted in our press release, Western Union has not authorized and disclaims responsibility for any recording, replay or distribution of any transcription of this call. I would now like to turn the call over to Hikmet Ersek.
Hikmet Ersek - The Western Union Co.: Thank you, Mike, and good afternoon, everyone. We delivered solid business performance in the first quarter, and we also continue to make important progress on our key strategic initiatives. Overall, the quarter's business results were consistent with our full year expectations. Revenue increased 3% in constant currency terms led by strong digital growth in consumer money transfer and the double-digit increase in our consumer bill payment business. Westernunion.com money transfer continued its trend of excellent results with revenue increasing 28% constant currency. Geographically, in C2C, our Latin America and Caribbean outbound business was very strong. North America and Europe posted good constant currency growth, while the oil producing countries in the Middle East and Africa continue to be challenged as expected. From a profit standpoint, operating margins were solid and we also returned over $300 million to shareholders through buybacks and dividends in the quarter. Our earnings per share in the quarter was negatively impacted by a higher than usual tax rate due to timing of some items, but we don't expect this to impact our full year earnings, and we are confirming our full year EPS outlook. Operationally, we continued implementation of the WU Way business transformation program. While we are operating from a position of strength, we are also redesigning our organization structures to drive enhanced focus on end-to-end full service delivery for our customers. We are progressing the cost efficiency initiative and technology organization optimization, and we are continuing to implement lean management into our operations. With these lean management techniques, we will improve the customer experience. We have initiated pilot programs of cross-functional teams analyzing our customer experience value streams, identifying issues, assessing root causes, and developing solutions. Currently identified solutions include providing more digital self-service options, piloting of customer care centers of excellence and enhancing capabilities in our agent point-of-sale technology. In addition to the potential cost efficiency opportunities, these changes are intended to lead to better customer experience and stronger retention over time. The WU Way programs are also supporting long-term growth initiatives, and we are making good progress in key areas. As we drive toward our vision of being a recognized leader in cross-border, cross-currency money movement, our strategic focus continues to be on expanding mobile and online, building our account payout network, and improving and enhancing customer experience across our portfolio. We have already had several advances in our digital business in 2017. We expanded our online distribution, as we now have 40 countries with Western Union transaction sites, including all the European Union countries, and 18 mobile apps with the ability to send money to more than 200 countries and territories. In the first quarter, over 60% of our westernunion.com transactions were initiated on mobile. We also added Apple Pay as a payment option on westernunion.com in the U.S., and we launched a bot, which allows our money transfer service to be accessed through Facebook Messenger in the U.S. Our account payout network continues to expand with access to billions of accounts. Although revenues are still currently small, account payouts represented over 30% of westernunion.com U.S. outbound principal in the quarter, and we have dedicated teams working on expanding this business. We have various initiatives underway to improve the customer experience not only through WU Way but also through implementing services such as app-initiated retail, which allows consumers to initiate transaction on their mobile devices and complete them at agent locations. All these actions give us confidence in the opportunities for our business. Obviously, there has been a lot of news in the money transfer space in recent months with the potential acquisition of one of our competitors. We believe this demonstrates the value of our global network, especially the retail and digital combination in cross-border money movement as well as the importance of global presence both in terms of capabilities and regulatory licenses and infrastructure. Now, regardless of how the external situation play out, our resilient global business model has shown solid results over the last several quarters. We will continue to focus on business execution and implementation of long-term strategic actions, including expanding our digital assets and optimizing our operating model. As I mentioned earlier, in the first quarter, we delivered solid business performance. We will continue to give you updates on our strategic progress throughout the year. But now, I would like to turn the call over to Raj to discuss the first quarter results in more detail.
Rajesh K. Agrawal - The Western Union Co.: Thank you, Hikmet. First quarter reported revenues of $1.3 billion were flat or increased 3% on a constant currency basis compared to the prior-year period. The impact of currency translation, net of hedge benefits, reduced first quarter revenue by approximately $30 million compared to the prior year. In the Consumer-to-Consumer segment, revenues were flat in the quarter or increased 2% constant currency, while transactions grew 2%. C2C constant currency revenue benefited from strong growth in westernunion.com, while geographically growth was driven by Latin America, North America and Europe and CIS regions. Total C2C cross-border principal increased 1% or 2% on a constant currency basis, while principal per transaction declined 2% or 1% in constant currency terms. The 1% cross-border principal increase was an improvement from the 1.5% decline we reported for the 2016 full year. Last month, the World Bank updated its cross-border remittance principal estimates, and its data indicates the overall market declined 1.2% in 2016, following a 2.7% decline in 2015. Factors cited by the World Bank for the decline last year included low oil prices, weak economies in the Gulf states and Russia, reduced flows from Europe to Africa and the translation impact of the stronger U.S. dollar. The World Bank is projecting an improvement in 2017, driven by stronger global economic outlook. Returning to the first quarter results, the spread between C2C transaction growth and revenue growth in the quarter was 2 percentage points, including a negative 2% impact from currency. Mix had a negative impact of approximately 2% in the quarter, while pricing had a positive impact of approximately 2%, primarily driven by price increases implemented last year, and that remained in place. We continue to view the current pricing environment as stable. Turning to the regions, we implemented a new regional structure this quarter in our C2C segment due to some leadership and organizational changes. Changes include a few modifications in the country composition of the segments by geographic regions, which we detailed in an 8-K we published last week and are also available in our 10-Q. In addition, we have changed the methodology of our regional reporting to allocate 100% of revenues to the send region rather than our previous practice of splitting the revenues 50-50 based on the region in which the money was originated and the region in which it was received. We believe this new methodology provides you with a better understanding of where our business is originated around the world, and how economic trends and other macro events may affect our results. We have provided the 2016 historical quarterly regional results using this method in the filings I just mentioned. So, turning to the regions, regional results for the first quarter, I'll be referring to constant currency movements as I discuss individual country contributions to the regions' results. North America again generated good growth in the quarter with revenue increasing 3% or 4% on a constant currency basis, while transactions grew 5%. U.S. outbound, particularly to Latin American countries, continue to be a strong grower. U.S. to Mexico business increased, although growth trends were not as good as the very strong results we delivered in the fourth quarter. The strengthening of the Mexican peso likely contributed to a slowdown in the market growth for the quarter. However, our Mexico business did continue to grow faster than the market based on the latest Banco de México principal and transaction data for the first quarter. Our U.S. domestic money transfer revenue was somewhat softer, primarily due to the impact of some price decreases we implemented in parts of the market in the second half of last year. In the Europe and CIS region, revenue declined 1% or increased 4% on a constant currency basis, while transactions increased 8%. Revenue growth in the region is consistent with the fourth quarter, while transactions benefited from growth of lower-priced transactions in Russia. In the Middle East, Africa and South Asia region, revenue declined 13% or 10% constant currency, and transactions were down 15% as low oil prices continued to negatively affect key send markets. The regions' results were also impacted by reduced sends from these countries into India. Total inbound business to India was down just over 20% in the quarter. That compared to the 30% revenue decrease we saw in November and December following the government demonetization actions, and we did see month-by-month improvement in the trends during the quarter. In the Asia-Pacific region, revenue was down 2% or 1% constant currency, while transactions decreased 2%. Business originating in the Latin America and Caribbean region was very strong. Revenue grew 26% or 25% constant currency, while transactions grew 17%, led by Argentina and several other markets. A combination of strong economic performance and currencies, market reforms, previous pricing actions and marketing programs helped drive the regions growth. Westernunion.com's C2C revenue continued its strong performance trend with revenue increasing 26% or 28% constant currency on 27% transaction growth. Westernunion.com represented 9% of total C2C revenue in the quarter, up from 7% in the first quarter of last year. In the Consumer-to-Business segment, revenue increased 8% or 10% on a constant currency basis. Constant currency revenue growth continued to be driven by the Argentina walk-in and U.S. electronic businesses, which were partially offset by declines in U.S. cash walk-in. Business Solutions revenues declined 6% or 3% constant currency, including a negative 3 percentage point impact from the loss of XE.com business. Revenues were also impacted by a decline in sales of hedging products, partially due to lower FX volatility in some markets. Geographically, good growth in Europe was offset by declines in North America and Asia-Pacific. Turning to margins and profitability, the consolidated operating margin in the quarter was 18.4%. Excluding the impact of costs related to the WU Way transformation program, adjusted operating margin was 19.5% in the quarter, which compares to 19.9% in the prior year period. The adjusted margin decline was driven by the impact of foreign exchange and customer and funding mix in C2B, partially offset by benefits from timing of marketing spend. Foreign exchange hedges in the quarter had a positive impact of $7 million, down from a benefit of $15 million in the first quarter of 2016. We continue to expect approximately $25 million in hedge benefits for the full year compared to $48 million of benefit in 2016. In total, currency negatively impacted operating profit by approximately $15 million in the quarter compared to the first quarter of last year. Compliance expense was 3.7% of revenue for this first quarter, and we still expect to be in the higher end of the 3.5% to 4% of revenues range for the full year. We recorded $14 million of WU Way expenses in the quarter, while expected savings are weighted more towards the second half of the year. EBITDA margin was 23.5%. Adjusted EBITDA margin, excluding WU Way expenses, was 24.6% compared to 25% in the prior year period. The decline was due to the same factors that affected our operating margin. The effective tax rate in the quarter was 24.1%. Excluding the impact of WU Way-related expenses, the adjusted tax rate was 24.8%, which compares to 14.6% in the prior-year period. The higher tax rate in the quarter was due to the impact of changes in the internal ownership structure of certain of the company's international subsidiaries, which were implemented to help address upcoming regulatory changes in Europe. The first quarter negative impact is expected to be largely offset by lower taxes of a comparable amount over the remainder of the year, resulting from the structural changes. The GAAP earnings per share of $0.33 in the first quarter includes a negative $0.02 impact from the WU Way-related expenses. Excluding these expenses, adjusted earnings per share of $0.35 compares to $0.37 in the first quarter of last year with the decline primarily driven by the higher tax rate. The C2C margin was 22.4%, which compares to 22.7% in the prior year period, has a negative impact of foreign exchange and offset by benefits from timing of marketing spend. The Consumer-to-Business operating margin was 12.2% in the quarter compared to 14.6% in the prior year. The year-over-year margin decline was primarily due to customer and funding mix in the U.S. electronic business, including increased credit card usage, although the margin improved substantially relative to the fourth quarter. Business Solutions operating profit margin was 2.5% in the quarter compared to 2.4% in the prior year period. Depreciation and amortization for Business Solutions was approximately $11 million in the current quarter compared to $13 million in the prior year period. The Business Solutions EBITDA margin was 13.7%, which compare to 15.1% in the first quarter of 2016 with the decline primarily caused by higher technology expense. Turning to our cash flow and balance sheet in the first quarter. Cash flow from operating activities was $86 million, which includes $151 million of payments related to the settlement with the Federal and state governments announced in January, and approximately $19 million of WU Way-related payments. Excluding these items, cash flow from operating activities was $256 million in the quarter. The remaining $440 million of legal settlement payments will be made in the second quarter. Capital expenditures were $26 million in the first quarter. At the end of the quarter, we had debt of $3.5 billion and cash of $1.3 billion with approximately half of the cash held by United States entities. During the quarter, we issued $400 million of five-year notes with a coupon of 3.6%. We also returned $308 million to shareholders, including $83 million in dividend and $225 million of share repurchases, which equated to approximately 11 million shares. The outstanding share count at quarter end was 472 million shares, and we had $1.2 billion remaining under our share repurchase authorization. Based on the first quarter results and our recent business trends, we are affirming our full year outlook. We expect GAAP revenue to be flat to down low-single digits with constant currency revenue increasing in the low-single digits. GAAP operating margins are expected to be approximately 18% and adjusted operating margin approximately 20%, excluding approximately $100 million of WU Way-related expenses. Our outlook include savings of approximately $20 million from deficiency actions included in the WU Way initiatives in 2017, and we expect approximately $25 million of additional savings in 2018. In addition to the impact from the subsidiary ownership structure, we also expect other discrete tax benefits in the fourth quarter, which we're anticipated in our original outlook. For the full year, the GAAP effective tax rate is still projected to be approximately 11%, while the adjusted rate is expected to be approximately 13%. Quarterly, we anticipate rates closer to our full year outlook in the second and third quarters, and then a very low tax rate in Q4. We continue to expect full year GAAP earnings per share in the range of $1.48 to $1.60 and adjusted earnings per share, excluding the WU Way-related expenses, in the range of $1.63 to $1.75. Both earnings per share ranges reflect an approximately $0.09 negative impact from foreign exchange. GAAP cash flow from operating activities is expected to be approximately $200 million in 2017 due to the impact of the $591 million payments related to the settlement agreement with the U.S. and State governments announced in January to be approximately $100 million of anticipated final tax payments related to the previously-announced IRS agreement in December 2011 and the WU Way-related payment. Excluding these items, we expect operating cash flow of approximately $1 billion. So, to summarize, the first quarter business performance was solid, strategic progress continued and we are on track with our full-year outlook. Operator, we're now ready to take questions.
Operator: We will now begin the question-and-answer session. And our first question will come from Tien-Tsin Huang of JPMorgan.
Hikmet Ersek - The Western Union Co.: Hi, Tien-Tsin.
Rajesh K. Agrawal - The Western Union Co.: Hi.
Tien-Tsin Huang - JPMorgan Securities LLC: Hey. Good afternoon. Thanks for the detail. So, it looks like just trend-wise volume in C2C pretty stable, pricing actually a little bit better. So, Hikmet, I want to ask you, I know you travel a lot and you meet with a lot of different regulators, government entities, et cetera. Have you sensed a change in tone in sort of the regulation and regulatory environment on the business side, whether it's in the U.S. or outside the U.S, I'm curious if you change your thinking around the risk or opportunity there?
Hikmet Ersek - The Western Union Co.: Not really, Tien-Tsin. I mean, there's a lot of noise obviously. But at this point, it's hard to measure the impact. In fact, our U.S. outbound business to Latin America business has been extremely strong, and our Mexico business a little bit slower than Q4, but still strong in Q1. Recent data just came actually, yesterday or something like that, the data from Banco de México. We are still beating the other competitors, and we are better than the market data. Overall, a lot of noise on the protective environment, on the immigrant environment all over, but I think the governments also regulated (22:05). When I talk to them, they do realize that it's important to use the formal channels to transfer money. They do realize that they understand that the regulated environment is the best to send money and support actually also the people that come from. I think that sentiment is there to support us. I don't see any big noise yet, noise more on the media, more on the published words, but less on the impact on our remittance market.
Tien-Tsin Huang - JPMorgan Securities LLC: Okay. That's good to hear. And maybe just for you, Raj, just on the margin side, gross margin, I guess, overall margin. I mean, I know there's a lot of puts and takes. I heard a little bit about funding mix, and I guess we'll have some WU Way benefits coming in the – later on towards end of the year. So, can you help us think about 2Q versus exit rate margin? What are some of the things that we should focus on there? Obviously, the full year margin, I understand, but just thinking about the walk through that?
Rajesh K. Agrawal - The Western Union Co.: Yeah, yeah. I mean, as we go through the course of the year, Tien-Tsin, we should get benefits from the cost savings initiatives. Most of that benefit will hit us in the second half of the year. And then, based on our current forecast for foreign exchange rates, we think that FX impact will be a little bit less in the second half of the year, so you get a pickup on those items. We had somewhat of a marketing benefit in the first quarter, and I expect that we'll get back to our normal averages for marketing spend, there's some timing in the first quarter. So that will also pick up. So, net-net, that's how we get back to roughly our 20% adjusted margin for the full year, and some of the things that will happen from a quarterly standpoint.
Tien-Tsin Huang - JPMorgan Securities LLC: And to clarify the funding mix piece of it, I know it's probably pretty small, but is that reversible?
Rajesh K. Agrawal - The Western Union Co.: Yeah.
Tien-Tsin Huang - JPMorgan Securities LLC: Is that...?
Rajesh K. Agrawal - The Western Union Co.: Yeah. It's the way – in our consumer bill payments business, we're seeing – we had couple of things happening over the course of the last year. We had a large customer that we brought on at lower margins, and then we also saw consumers using credit cards to make payments, and that's a more expensive transaction for us. So, it ends up being more expensive for us. And although margins were down from the first quarter of last year, we actually did improve quite a bit from the fourth quarter where we were in the C2B business. So, the goal there has been to get really good top-line growth, and we're getting a lot of success there, we're adding to the portfolio. And then that gives us an opportunity to stabilize margins and maybe improve them over time.
Tien-Tsin Huang - JPMorgan Securities LLC: Got it. Got it. Thank you so much.
Rajesh K. Agrawal - The Western Union Co.: Sure.
Hikmet Ersek - The Western Union Co.: Thanks.
Operator: The next question comes from Darrin Peller of Barclays.
Darrin Peller - Barclays Capital, Inc.: Hi, guys.
Hikmet Ersek - The Western Union Co.: Hi, Darrin.
Rajesh K. Agrawal - The Western Union Co.: Hi, Darrin.
Darrin Peller - Barclays Capital, Inc.: Hey, guys, thanks. Look, it's good to see pricing was stable on the quarter again. Obviously, it does seem, we're seeing incremental competition from innovators across the ecosystem. So, I just want to make sure, I mean, should we expect pricing in your view to remain stable, let's call, in the next 12 months to 24 months. It's just a bit of a shift obviously than what we saw two years, three years ago. And then, just any further thoughts on the industry implications of one of your largest competitors potentially being acquired, whether it's depending regardless of who buys them?
Hikmet Ersek - The Western Union Co.: Yeah. Let me – you are right, Darrin. Pricing is stable, it has been stable for the last three years. And I think we don't see any big movements. I think, the pricing is stable in the market, and for short-term, I see that it's going to stay stable. There are always corridor adjustments. There are always some markets up and down, but generally I would say that it's stable and on average, our premium like 15% to 20% pricing are being higher than the competitors. It's staying there, given our network, given our brand, given our competitive advantage, global advantage. I think we're going to – we feel comfortable with our pricing action. We will continue to do in certain corridors pricing, and we will continue to adjust that and sometime it's FX, sometimes it's fee, sometimes it's putting the price higher, sometime it's lowering, and managing 16,000 corridor in 200 countries has been our strength, and we're going to continue to do that. Now, I can't tell you about the competition – the new owner of the competitors are, when that will go through or not, I can't do that, that has to be approved by the different regulatory environment in the U.S. and how long it will take. But I can only tell you that we are extremely focused in the market. And I can say that our team, our regional heads, our corridor heads, our marketing heads, our people have been very focused and delivering pretty good. I do – from an agent side, they are also asking us what that means, the new environment, I can't tell you what's the new environment is, but I believe that the competitors want to make also money and want to be successful in the market and serve the customer in a right way, and we're going to compete on the market.
Darrin Peller - Barclays Capital, Inc.: Okay. All right. So it sounds like you do expect continued stability around pricing at least over the near-term?
Hikmet Ersek - The Western Union Co.: Yeah. Near-term of – yes, I mean, it's always hard to predict the future – long, long future about near-time, yes.
Darrin Peller - Barclays Capital, Inc.: Right.
Hikmet Ersek - The Western Union Co.: And I feel like they're quite good. Our fundamentals are good to respond to specific corridors. We can immediately respond to that if there is any pressure in certain corridors in certain countries.
Darrin Peller - Barclays Capital, Inc.: All right. That's good to hear. And then, just a quick follow-up on – I know you mentioned some comments around the India demonetization and some progress being seen on a monthly basis even. Could you just provide a little more thought around the long-term stability in the region for you guys there? When would you expect that to be back to normal again?
Hikmet Ersek - The Western Union Co.: Yeah. I think, we see improvements. I think, there is more cash in the market, so people are getting more cash and will be paying us in our 100,000 locations. But one thing you should not forget is, one of the major corridors is the Middle East to India. And oil prices has been low, and you see the impact of that mix to India. But one of the very strong corridors for us is the U.S. to India on our digital part. And we're dropping money not only there on the cash, we're dropping money also on account. In fact, most of the transactions are going to an account there from online. So, it is really the portfolio management. I would say that it will stabilize. We do have a competitive advantage. We do have a coverage there. Our brand has been very prominent in India. The brand awareness is bringing probably the highest amount of money transfer companies there. So, I think it will come back depending on how fast, I can't say that, but it's coming. I can see day-by-day improvement.
Rajesh K. Agrawal - The Western Union Co.: And the great thing about India is that we have fantastic retail coverage. And we also have fantastic account coverage. We pay out into most accounts in India. So...
Darrin Peller - Barclays Capital, Inc.: Yeah.
Rajesh K. Agrawal - The Western Union Co.: ...the infrastructure is right to improve there.
Darrin Peller - Barclays Capital, Inc.: Okay. That's helpful, guys. Thanks very much.
Hikmet Ersek - The Western Union Co.: Thanks, Darrin.
Operator: The next question comes from Bryan Keane of Deutsche Bank.
Hikmet Ersek - The Western Union Co.: Hello, Bryan.
Bryan C. Keane - Deutsche Bank Securities, Inc.: Hi, guys. How are you doing?
Hikmet Ersek - The Western Union Co.: Good. How are you, Bryan?
Bryan C. Keane - Deutsche Bank Securities, Inc.: I'm all right, I'm all right. Just wanted to ask about the U.S.-originated transactions. It was up 4%, and then I think that was down from 8% last year in fiscal year 2016, and it was pretty consistent around that 8% last year. So, just trying to figure out, was that directly a result of the strengthening Mexico peso and anything else in there that caused a little bit of a deceleration from the rate that we saw all through the fiscal year 2016?
Hikmet Ersek - The Western Union Co.: Yeah. I mean, it's – U.S. to Mexico, our DMT business is also a part of that number, so DMT was softer in the first quarter than it was in the fourth quarter. And so, those two things combined did that, but we still – as you said, we still had good growth in North America as well as the U.S., and so overall still tracking well but softer than what we saw in the fourth quarter and prior quarters.
Bryan C. Keane - Deutsche Bank Securities, Inc.: Okay. And then, just on the tax rate, for the quarter, that came in higher. Was that something that you guys knew that was going to happen or is that something that popped-up during the quarter? And then you talked a little bit about cadence throughout the year. It sounds like the fourth quarter, will it basically be like a zero tax rate or...
Hikmet Ersek - The Western Union Co.: Yeah.
Bryan C. Keane - Deutsche Bank Securities, Inc.: ...what do you think about the fourth quarter?
Rajesh K. Agrawal - The Western Union Co.: Yeah. I mean, we had planned on – obviously our outlook for the full year has not changed, so 11% and then 13% adjusted. So, we had planned on these activities for the year. The timing in the first quarter was less under our control, I would say. And so, we're going to get those same benefits the rest of this year, because we had planned on it. We've basically accelerated into Q1. And then, the second and third quarters should be closer to our full year average tax rate. And the fourth quarter, I would expect to be substantially lower because we have a number of different discrete benefits that we had already planned on, plus this timing benefit. So, it should be substantially lower than you'll see for even the second and third quarter as we go into the fourth quarter.
Bryan C. Keane - Deutsche Bank Securities, Inc.: Okay, great. Just last question for me on the Western Union Business Solutions. It sounds like there was a termination of a partner contract. Is there a bigger impact in that going forward or is the decrease in 3% constant currency about the right number we should expect for fiscal year 2017? Thanks so much.
Rajesh K. Agrawal - The Western Union Co.: Well, the XE.com customer is something we spoke about last year. We knew that we were going to lose it at the end of last year, which is what happened. And so we're going to see that grow over impact at least through the first three quarters of this year, a little bit in the fourth quarter. So you'll see a three-point impact from that as we move through, but our goal is to grow the business faster than what we achieved in the first quarter. That's not an acceptable growth level for us. And we're doing a number of good things in that business where we want to drive better growth. So I would not model minus 3% in that business, that's not our objective. Our objective is to grow better than that.
Hikmet Ersek - The Western Union Co.: Yeah. I mean, it's also different performance. Europe has been growing good, but Latin America – sorry, North America and Asia-Pacific has been slower there. It's something that we're focused on that, should be better growth. And I think we have also some focus areas with some management changes, and really how we can drive the sales there better. And I think we will try to get that better, but we are not pleased with the current (33:07) performance...
Rajesh K. Agrawal - The Western Union Co.: Yeah.
Hikmet Ersek - The Western Union Co.: ...and I think it should be better.
Bryan C. Keane - Deutsche Bank Securities, Inc.: Okay, great. Thanks for the color.
Hikmet Ersek - The Western Union Co.: Thanks.
Operator: And next we have a question from Jim Schneider of Goldman Sachs.
James Schneider - Goldman Sachs & Co.: Good afternoon, and thanks for taking...
Hikmet Ersek - The Western Union Co.: Hi, Jim.
James Schneider - Goldman Sachs & Co.: Hi. Good afternoon, and thanks for taking my question. I was wondering if you can maybe talk a little bit about the C2B revenue. I think you talked about an impact in Argentina, and maybe a couple other factors. But I think that growth in that segment was as high as I see it going back several years. So, is that a one-time impact? Is that a sustainable benefit? And maybe just talk about what you're seeing in that business maybe for the remainder of the year?
Rajesh K. Agrawal - The Western Union Co.: Yeah. The C2B business has been growing in the low double-digit range for quite a long time now, the last several years. And what we saw in the quarter, we also had good reported growth in that business of 8%, and that's because Argentina didn't devalue as much as we had expected. But we continue to see really good growth opportunities for that business. It's being driven by a couple of different things, the Argentina cash walk-in business where consumers are paying bills at retail locations, and then our electronic payments business here in the U.S. And then that's being offset a little bit by U.S. cash walk-in. So, the growth profile of that business continues to be very strong, and we continue to add to the portfolio. And we're very excited about the opportunities in that business.
Hikmet Ersek - The Western Union Co.: I think, in some area, we are focused also about the future. One of our strategic initiative is that how we can move better not only C2C transaction or the C2B transaction cross-border, cross-currency. And we see some signs in the U.S., that business is performing very well, our Speedpay business, electronic business and our Argentina business. Can we take that also to other countries? Can we do cross-border payments? That's something with our new organization, WU Way, that's something that we're long-term concentrated on that that we can have a long-term growth there. So we are excited.
James Schneider - Goldman Sachs & Co.: Good to hear. And then, maybe as a follow-up really on related topic, related to the kind of changing international owners to be talked about to adopt to PSP2. Can you maybe talk about broad strokes of what changes in ownership were actually or have been made and will be made?
Hikmet Ersek - The Western Union Co.: Yeah.
James Schneider - Goldman Sachs & Co.: And whether that has any kind of longer-term impact on the tax structure?
Rajesh K. Agrawal - The Western Union Co.: Yeah. No, it's a longer-term impact on the tax structure. The activity relates specially to our Business Solutions business and the licensing requirements that are coming next year in Europe related to some of the products that we sell – the derivatives products that we sell. So, we had to make some changes. As you know – as you may know, we own a bank in Austria. And so, we've combined or we're going to be combining those organizations to provide the right type of licensing structure ultimately. So that's the underlying activity that we're driving at.
James Schneider - Goldman Sachs & Co.: Great. Thank you.
Hikmet Ersek - The Western Union Co.: Sure.
Operator: The next question will come from Kartik Mehta of Northcoast Research.
Kartik Mehta - Northcoast Research Partners LLC: Good evening.
Hikmet Ersek - The Western Union Co.: Hi, Kartik Mehta.
Kartik Mehta - Northcoast Research Partners LLC: Hi. You've talked in the past and even on this call about mobile and the utilization, and it seems to be increasing. And I'm wondering, obviously there is a consumer convenience component to it, but what other benefits does Western Union get, if any, from greater mobile utilization?
Hikmet Ersek - The Western Union Co.: I think that's one of our biggest – strong growth where it's coming from. It's one of our biggest strategic initiatives and the team is doing a great job. So, let me start with saying that we have the fundamentals. We can send money to 200 countries, the others can't like we can do it. We can drop money in an account and in a location. We have almost billions of accounts, almost 3 billion accounts or like over 2 billion accounts, I don't know. Currently it's over 2.5 billion accounts, I believe, yeah. And then, we have about over half-a-million locations. So, this combination, sending money from a mobile anytime, anywhere, 24/7, has been seen by the customers extremely well. Now, the customer has to register. Once the customer use it once, they really want to use it more often. The other thing what we say is to get different customer segment. They're probably younger generation, they do have accounts, they do use their credit cards or their accounts to fund the transaction, and we see good growth here. So, we saw very good growth in the U.S. but we also expanded, we have now 14 countries on our online westernunion.com and 18 on mobile app. If you can use your mobile app in the U.S. with your English language, or with – you're sending that. But in Germany, we have a German; in France, we have a France app. We have really adapted all this to local environment our apps and the customers are using that, and it's going to continue. The other thing is also, I'm excited, we started not only send money to an account, not only to a location, but also through a mobile wallet. And so, combining mobile wallet to mobile with mobile to mobile is also something that we're excited about that.
Kartik Mehta - Northcoast Research Partners LLC: And Raj, I know you talked about compliance cost this year maybe being at the higher end of guidance. But as you look at those costs, do you think there is an opportunity to automate or consolidate so that they reduce as – maybe in 2018 and beyond?
Hikmet Ersek - The Western Union Co.: Go ahead.
Rajesh K. Agrawal - The Western Union Co.: Yeah. I mean, we're always looking for opportunities to optimize how we spend there. And over time, the composition of how we spent that money has changed, right? And as we've completed many of the Southwest Border requirements, that spending has gotten less over the last couple of years, but it's migrated to other programs. So, we're always putting technology in place and we want to automate those things. Our first priority this year really is to address the requirements that we have under the settlement agreements, and that's the reason for the higher spend this year. And we'll look to stabilize as much as we can over time.
Hikmet Ersek - The Western Union Co.: One thing, Kartik, I just want to mention that also. I see that as an investment as a competitive advantage. And it really gives us the capability and operate in 200 countries, work with regulators, flows, adapting to changes very fast. We have a team there, about 2,000-plus people working on the compliance, but not only them also our agents work with – close with our compliance teams. So I see that as a competitive advantage. It's a barrier of entry for many, but we have it here. And we're going to continue to advance that compliance activities. That doesn't mean that we are not looking being more efficient, but it's an competitive advantage I believe.
Kartik Mehta - Northcoast Research Partners LLC: Thank you very much.
Rajesh K. Agrawal - The Western Union Co.: Sure.
Hikmet Ersek - The Western Union Co.: Thank you.
Operator: Our next question comes from our Ashwin Shirvaikar of Citi.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Hi, Hikmet. Hi, Raj.
Hikmet Ersek - The Western Union Co.: Hi, Ashwin.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Hi. How are you?
Hikmet Ersek - The Western Union Co.: Good.
Rajesh K. Agrawal - The Western Union Co.: Good, good.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: So, my first question is on Western Union Business Solutions. And I've always had the view, I think you guys have mentioned this in the past too that as the economy improves that the performance of this business unit should improve, and even absent the XE contract loss, it just seems to be a little bit sluggish in terms of – if there is a lack of growth. Does it need more investment? I mean, do you need a better product? I'm trying to understand what is it that gets this going. And then, sort of a sub-question is, any views on – you've seen some acquisitions in the B2B space just in the last week, one by Vantiv and one by FLEETCOR, any thoughts on that space?
Rajesh K. Agrawal - The Western Union Co.: Well, Ashwin, I believe that the Western Union Business Solutions should have a better performance than we reported in Q1, I agree on that with you. I think, the global economic environment, when that improves, when more export-import connection happens, especially on the small and mid-sized business entities, that will improve given how linked that sending money and receiving money is with importer and exporter. Besides that, I don't believe that we need a significant investment there to improve our performance. It's more really a focus on the sales getting new customers, where its liking is that I understand more is on the foreign trade part – foreign exchange trade part on the hedges and on the forwards. We have some performance issue. However, the payments part, like the invested (42:11) payments, like NGO payments is doing very well. How you pay your builds or cross-border builds during (42:18) performance very well. However, on the trading part, foreign exchange trading part, we do need some more focus here. And I know the team is doing a little – putting also Wu Way activities around that's looking really how we can improve the part generally, this part has to improve, and I believe that over time it will improve.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Got it. And then, I want to go back to sort of the commentary around pricing being stable. I just want to confirm that when you top-up stable pricing, it is still that you can offset the unit fees or the transaction fees with increasing FX spread. And I know you're not going to provide this information in the future. But to what extent can you actually increase FX spread before sort of clients start pushing back on that?
Rajesh K. Agrawal - The Western Union Co.: It's all about mix. You know our business very well, Ashwin, depending on the corridor. We do have corridors, which is zero FX. We do have corridors, which are higher FX, zero fees. We do have corridors where there's both are that. It's really like an airline management where you fly from one destination to another destination, which seats you for use, and that's exactly what we are doing with our teams. I think, in the portfolio management, the team is impressive. It's really looking at every corridor, understanding the customer needs on FX side. I believe there is room. We can be even better there, having the right balance between foreign exchange and fees, but our business model is built mostly on fee and less on FX. But there is, I believe, opportunity to see the customer need and go after that. That keeps the – the mix also keeps the flexibility as to keeping the pricing stable. And as I mentioned earlier, our prices are higher than the competition, but the market and the customer feel comfortable with the prices. And the 2% constant currency growth is definitely something that are also transaction growth reflects that.
Hikmet Ersek - The Western Union Co.: And Ashwin, in some markets, customers are hyper-sensitive to fees or FX, and so it really just depends on that overall mix in what the competitor set has. So it's not one formula for any particular market.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Okay. They're just managing country-by-country or corridor-by-corridor?
Hikmet Ersek - The Western Union Co.: Corridor-by-corridor more, Ashwin.
Rajesh K. Agrawal - The Western Union Co.: Yeah.
Hikmet Ersek - The Western Union Co.: Yeah.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Okay, got it. Thank you.
Rajesh K. Agrawal - The Western Union Co.: Thanks.
Hikmet Ersek - The Western Union Co.: Thank you.
Operator: The next question will come from John Davis of Stifel.
John Davis - Stifel, Nicolaus & Co., Inc.: Hey. Good afternoon, guys. Raj, I wonder maybe you could give us an update on the amount of cash in the U.S. versus abroad currently. And then, maybe on a more normalized run rate of $1 billion, excluding all the one-time items, how much of that cash flow is generated in the U.S. versus abroad? Just trying to get a handle, if we do get tax reform, what kind of impact it could have on your tax rate?
Rajesh K. Agrawal - The Western Union Co.: Yeah, our cash balance was higher at the end of the first quarter than we've had for some time. It was higher than the end of the year, because we did raise some debt in the first quarter. We also issued some term debt as well as some commercial paper. And that's in anticipation of making these final payments for the legal settlements. So that's why you see a higher level of cash. By the end of the year, we should be at a lower level of cash. We currently have about half of the cash at the end of the first quarter U.S.-based, and the rest of it's abroad. On an ongoing basis, we generate about 75% or so of our cash flow outside the U.S. And that includes any repatriation that we may do back to the U.S., normal repatriation. So, if we were to get comprehensive tax reform, that could potentially alleviate any future issues of repatriation of foreign profit, which should be a good thing for us.
John Davis - Stifel, Nicolaus & Co., Inc.: Okay. Great. And then, maybe just a quick follow-up on WU Connect, obviously the Facebook announcement, but any kind of update there? I know it's still early days, but I just haven't heard about it in a while. I'm just kind of curious, kind of thoughts or any updates?
Rajesh K. Agrawal - The Western Union Co.: Yeah. I mean, we're excited about the Facebook announcement and the potential there. It's a great product. Our customers really don't have to leave the messenger environment to do a transaction, but for us it's just another channel to allow customers to do a transaction with us, right. Whether it's Viber or WeChat or Facebook, we just want to provide as many avenues as possible for customers to be able to do a transaction with us. On Facebook specifically, whether they come through Facebook or whether they come to us directly on wu.com, we're really indifferent because the economics of that transaction are about the same for us. So, we'll see – it's early stages, but we'll see how that kind of transpires.
Hikmet Ersek - The Western Union Co.: Is the customer convenient? I did some transactions, unbelievable. You would not be – leaving the messenger and you do transaction, you continue to use the messenger, so it's really combining here and dropping money in minutes worldwide to 200 countries, 500,000 locations and billions of accounts. It's quite convenient for both who are Messenger users, Facebook users, then us.
John Davis - Stifel, Nicolaus & Co., Inc.: Okay. Thanks, guys.
Hikmet Ersek - The Western Union Co.: Sure.
Operator: The next question comes from David Ridley-Lane of Bank of America Merrill Lynch.
David E. Ridley-Lane - Bank of America Merrill Lynch: Hi, guys.
Hikmet Ersek - The Western Union Co.: Hi.
David E. Ridley-Lane - Bank of America Merrill Lynch: Good evening. Will you need to raise more debt to fund the settlement payments or is the debt activity that you did here in the first quarter pretty much all that you're paying for the full year?
Rajesh K. Agrawal - The Western Union Co.: Yeah. We've raised the debt in the first quarter to make the payments in the second quarter – first and second quarter. So, that's why you see an elevated level of debt. The only other piece that we have there is, we have a refinancing to do of another $500 million maturity at the end of this year. So, we will likely pre-finance that before the December maturity. So you'll see potentially some higher levels of debt. But by the end of the year, we should be at about where we were for the first quarter, assuming nothing else changes.
David E. Ridley-Lane - Bank of America Merrill Lynch: And then, could you give us the year-over-year margin impacts from higher compliance costs in the first quarter?
Rajesh K. Agrawal - The Western Union Co.: Well, last year, we spent – we are at 3.6% of revenues in the first quarter. And in the first quarter this year, we're at 3.7%. So it's not a dramatic difference. And for the full year, I would expect this to be at the higher end of our 3.5% to 4% range. And in the last couple of years, we've been closer to 3.5%.
David E. Ridley-Lane - Bank of America Merrill Lynch: Understood. And then, last one from me. When you – as you look forward into the timing of the WU Way cost savings, I understood though increase as you go through the year, but would you be close to full run rate by the fourth quarter?
Rajesh K. Agrawal - The Western Union Co.: I would expect to be at a more full run rate, but we're going to keep looking for more opportunities there. So, right now, we plan for about $20 million this year, and then incrementally $25 million next year, but we're going to keep looking for more opportunities for savings.
David E. Ridley-Lane - Bank of America Merrill Lynch: All right. Thank you very much.
Rajesh K. Agrawal - The Western Union Co.: Sure.
Hikmet Ersek - The Western Union Co.: Thank you.
Operator: The next question comes from Bob Napoli of William Blair.
Robert Paul Napoli - William Blair & Co. LLC: Thank you. Good afternoon.
Hikmet Ersek - The Western Union Co.: Hi, Bob.
Robert Paul Napoli - William Blair & Co. LLC: Just on the stock buybacks, how much capital do you expect to use this year? And then, any change to your policies and share buybacks should capital return over the next couple of years?
Hikmet Ersek - The Western Union Co.: Yeah. I mean, Bob, we have $1.2 billion left on our share repurchase authorization, and that's good through 2019. We bought $225 million in the first quarter. We haven't given an exact number for this year. But as we gave our original outlook earlier this year, we were just planning on buying irritably through the course of the next three years. And if you look at our capital return, our policies really haven't changed a lot. We've continued to give a lot of cash back through dividends. And that's – our dividend payout now is over 40%, our yield is 3.5%. And so that's the key important part. We returned more than $300 million a year in just dividends. And then, we use our excess cash flow to really buyback the stock to the extent that we're not investing in other places.
Robert Paul Napoli - William Blair & Co. LLC: Okay. And then, on wu.com, the growth rate has been relatively steady over the last year, in the high-20%s. What are your thoughts on being able to maintain that growth rate over the next few years?
Rajesh K. Agrawal - The Western Union Co.: Yeah. I think, it has been obviously a great growth rate, and we believe that we are absolutely growing faster than the competition, and the team is executing very well. Don't forget, I mean, I said we are – just launched 40 countries, it's only 40 countries to send money to 200 countries. And the new countries will generate until they come really on a revenue generating mode, it will even be better, and then we want to be in 200 countries to send 200 countries, like our agent network. And so that's something the team is focused. That's something that we are extremely optimistic that our digital expansion will continue. And combining digital with retail, it's the secret sauce, different customer use cases. So, I'm quite optimistic, and the teams are also optimistic on that.
Robert Paul Napoli - William Blair & Co. LLC: And those customers, what is it still over 80% that are new to Western Union?
Rajesh K. Agrawal - The Western Union Co.: Yeah. Still 80% of the customers didn't use the recent – retail money transferred for the last...
Hikmet Ersek - The Western Union Co.: For the last couple of years.
Rajesh K. Agrawal - The Western Union Co.: ...couple of years. They're still new.
Robert Paul Napoli - William Blair & Co. LLC: Okay. Last question, Business Solutions, last night, FLEETCOR announced the acquisition of Cambridge. I believe they're a direct competitor. That business obviously has not performed the way you wanted it to perform since you've acquired the two businesses. The Cambridge they put out was growing over 20% has 40% margins. What does it take to get your business to – I mean, why are you underperforming to a competitor like that so much? And is it strategically important to own that business should you consider selling it?
Hikmet Ersek - The Western Union Co.: So, first of all, Western Union Business Solutions is nothing else but moving money cross-border cross-currency. It's not like total different business like a prepaid card business or something like...
Robert Paul Napoli - William Blair & Co. LLC: Sure.
Hikmet Ersek - The Western Union Co.: ...loan business. So it is obviously very much linked to our core, which we move cross-currency. So, it makes sense to be within the Western Union. The second thing is that, on that business, the foreign exchange part – the trading part has not been performing that well. In Europe, we had good results but some in North America and Australia has been a little bit, over the few quarters, not the performance we want to have it. I think it's important also to keep that business. It does has some – provides benefit for our internal working capital, and we've been extremely good on that one. But on this business, there are two big benefits which the competitor don't have. The payments part of the business, like we have the most universities. It's growing very – the student payment is one of the product, which is growing very fast, and we have other things like that. Utility payments is also cross-border. And the other thing is also, we do – if you recall about three quarters ago or something like that, we announced our EDGE platform, where we combine the importers and exporters in one platform and provide service for both of them. This is also something that has a future about that, so it has asset (54:48). Now, from the business performance, I agree from that – it could be better, and we'll focus on that. And so, it is definitely something that we are very much focused on it.
Robert Paul Napoli - William Blair & Co. LLC: Great. Thank you. Appreciate it.
Rajesh K. Agrawal - The Western Union Co.: Thank you.
Michael Alan Salop - The Western Union Co.: We're almost at the bottom now. We'll take one more question.
Operator: Okay. The final question will come from Alex Veytsman of Monness Crespi.
Alexander Veytsman - Monness, Crespi, Hardt & Co., Inc.: Yeah, greetings. A quick question on the EU and CIS regions. So, the transaction growth rate was 8% year-on-year for the quarter. Could you help us break it down, if the traction is coming mostly from Western Europe or CIS? And also given that transaction growth rate has accelerated over the last several quarters, should we be expecting the same levels more or less for this region throughout 2017?
Hikmet Ersek - The Western Union Co.: Yeah, the Europe CIS region, first of all, was quite stable till the last quarter. We had the same level of constant currency growth, 4% in both quarters. And the transaction growth lift that you saw was largely coming from the Russian market, which is at a relatively lower revenue per transaction. And so, the Russian and the Ukraine business performed quite well, but that's not necessarily going to continue for the full year. There are some other restrictions coming in those markets. So, that's really you saw the transaction lift, but the overall revenue growth was pretty consistent with last quarter.
Alexander Veytsman - Monness, Crespi, Hardt & Co., Inc.: Great. Thank you.
Hikmet Ersek - The Western Union Co.: Sure.
Rajesh K. Agrawal - The Western Union Co.: Thank you.
Michael Alan Salop - The Western Union Co.: Okay. Thanks everyone for joining us.
Hikmet Ersek - The Western Union Co.: Thank you.
Michael Alan Salop - The Western Union Co.: Good evening.
Hikmet Ersek - The Western Union Co.: Good evening.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.